Operator: Please stand by. Your program is about to begin. [Operator Instructions] Good day and welcome to the Philip Morris International Third Quarter 2021 Earnings Conference Call. Today's call is scheduled to last about one hour, including remarks by Philip Morris International management and the question-and-answer session. [Operator Instructions] Media representatives on the call will also be invited to ask questions at the conclusion of questions from the investment community. I will now turn the call over to Mr. Nick Rolli, Vice President of Investor Relations and Financial Communications. Please go ahead, sir.
Nicholas Rolli : Welcome. And thank you for joining us. Earlier today, we issued a press release containing detailed information on our 2021 third quarter results. You may access the release on www. pmi.com. A glossary of terms including the definition for reduced risk products for RRPs, as well as adjustments. Other calculations and reconciliations to the most directly comparable U.S. GAAP measures and additional heated tobacco unit market share data are at the end of today's webcast slides, which are posted on our website. Unless otherwise stated, all references to IQOS or to our IQOS Heat Up Burn products, all references to smoke-free products are to our RRPs. Growth rates presented on organic basis reflect currency-neutral underlying results. Following the acquisitions of Fertin Pharma, Otitopic, and Vectura Group, PMI added the other category in the third quarter of 2021. Business operations for the other category are evaluated separately from the geographical operating segments.  Today's remarks contain Forward-looking statements and projections of future results. I direct your attention to the Forward-looking and cautionary statements disclosure in today's presentation and press release for a review of the various factors that could cause actual results to differ materially from projections or Forward-looking statements. Please also note the additional Forward-looking and cautionary statements related to COVID-19. It's now my pleasure to introduce A - Emmanuel Babeau, our Chief Financial Officer. Emmanuel.
Emmanuel Babeau : Thank you, Nick, and welcome ladies and gentlemen. I hope everyone listening to the call is safe and well. Our business delivered another strong performance in the third quarter of 2021, coming ahead of our expectation to achieve a record [Indiscernible] quarterly adjusted diluted EPS of $1.58. Most notable was the continued excellent growth of IQOS driving +33% Q3 organic growth in RRP net revenue, and +7.6% for total PMI. HTU shipment volumes grew +24% compared to the same quarter last year to reach 23.5 billion units with broad-based growth for both our volume and the category across key geographies. This was delivered despite ongoing tightness in device supplies, due to the global semiconductor shortage, which impact IQOS user growth rates.  In combustibles, further sequential share gains supported total PMI giving growth of 2.1% in Q3. And we continue to expect total cigarette and it's [Indiscernible] goals for the year. We are firmly on track for a strong 2021 organic growth performance with an expected currency tailwind providing additional growth in the [Indiscernible]. We are also delighted to share outstanding initial result for IQOS ILUMA in Japan, and growing traction for IQOS VEEV in early launch markets. In the quarter, we made three milestone acquisition as we build our business for the long term to include product that go beyond tobacco and nicotine. Our smoke-free transformation is now also reflected in our financing with the launch of an industry for business transformation link financing framework. And we continue to prioritize return to shareholder through 4.2% increase in the dividend and ongoing share repurchases. Turning to the headline numbers, our Q3 net revenue grew by +7.6% on an organic basis or +9.1% in dollar terms.  This reflects the continued strength of IQOS and the recovery of the [Indiscernible] business in many markets. We witnessed good organic growth of plus 5.4% in our net revenue per unit, driven by the increasing weight of IQOS in our sales mix and pricing on both HTUs and combustibles. Our adjusted operating income margin decreased by 10 basis points on an organic basis.  This reflects the expected initial higher unit cost of IQOS ILUMA and increased commercial spend partly related to its launch, offsetting the continued positive effect from the increasing weight and profitability of IQOS, pricing, and productivity savings. Our resulting adjusted diluted EPS of $1.58 represent +8.5 organic growth, and +11.3 in the last terms, a very good performance. Looking now at year-to-date performance, our adjusted net revenues grew by almost +11% in dollar terms and by +7.3% organically. This reflect the consistent growth of IQOS where progress throughout the pandemic has been impressive. We delivered strong organic growth of nearly +6% in our net revenue per unit, again reflecting our shifting business mix and pricing with pricing on combustible at just over 3% or around 5%, excluding Indonesia.  Our year-to-date adjusted operating income margin increased by 280 basis points on an organic basis, an excellent performance driven by our top-line growth and [Indiscernible] of IQOS, and pricing combined with operating leverage and productivity savings. Our adjusted diluted EPS grew plus 15.8% organically and plus 20.4% in dollar term; also -- obviously a very strong results. This brings me to guidance for 2021.  We are revising our organic growth outlook for net revenues to plus 6.5% to plus 7%, representing the upper half of the previous range and reaffirming the strong outlook for organic OI margin expansion of around 200 basis points. We also confirm our currency-neutral adjusted diluted EPS growth forecast at the upper end of our previous range, reflecting +13% to +14% growth, or +16% to +17% in dollar terms. This translating to an adjusted diluted EPS range of $6.01 to $6.06, including an estimated sub variable currency impact of $0.17 at prevailing rates. Following on from our most recent comment s, as the tightness in device supplies persist, we now expect our HTU shipment volume to be around 95 billion units as we prioritize devices for user retention. Given the continued growth of HTUs and the need to maintain inventory duration, we continue to expect our full-year shipments to be slightly ahead of IMS volume s. This guidance does not include any material impact of share repurchases or acquisition. Share repurchases through October the 15th amount to around $117 million after some limitation during Q3 from blackout restriction.  In term of other assumptions, we are assuming only a limited Q4 recovery in duty-free following a modest improvement in Q3 with intercontinental and Asian travels still very subdued. We continue to assume fully accomplishable pricing of +2 to +3%, with a softer expected Q4 reflecting continued pandemic-related challenges in certain markets, notably in South and Southeast Asia, as well as tough comparison in Germany and Australia. Lastly, in 2021, we continue to expect around $11 billion of operating cash flow at prevailing exchange rate subject to year-end working capital requirements.  We also update our expectation for full-year capital expenditures to around $0.6 billion reflecting latest launch plans and pandemic related planning factors. Before discussing depth, I am pleased to report some recent positive regulatory development further to the shares in previous quarters. For example, Switzerland adopted a new federal law on tobacco products and in cigarettes defining dedicated product category and differentiated as warnings. In New Zealand, the government has now published new regulation for smoke-free product, which allow branded packaging to be reintroduced with a specific text as warning.  In Egypt, earlier this year, smoke-free product were clearly differentiated from combustible cigarette in both Fiscal and regulatory treatment. There is a growing body of scientific and real-world evidence of the substantial risk reduction potential of non-combustible alternative compared with smoking. While fluctuations across different market are to be expected, we continue to support regulatory and Fiscal frameworks that recognize this critical [Indiscernible] reduction opportunity. Turning back now to our results, Q3 total shipment volume increased by plus 2.1% and by plus 1.5% year-to-date.  This reflect continued strong growth from HTU of +24% driven by the EU region, Japan, Russia, Ukraine, and encouraging progress from recently launched markets in the Middle East. HTU shipments were around 1 billion units below IMS volume for the third quarter, primarily reflecting timing around the August ILUMA launch and the October tax driven price increase in Japan. We expect this dynamic to reverse in Q4. The minus 0.4% decline in our Q3 cigarette volumes reflect the continued sequential recovery of total industry volume and of our market share.  Due to the impressive performance of IQOS, heated tobacco unit comprised 13% of our total shipment volume year-to-date as compared to 11% in full-year 2020, 8% in 2019, and 5% in 2018. Our sales mix is changing rapidly, putting us on track to achieve our aim of becoming a majority smoke-free Company by 2025. Smoke-free product made up almost 30% of our adjusted net revenue year-to-date compared to 23% for the same period in 2020, IQOS devices, accounted for over 6% of the $6.7 billion of RP net revenue. With a step-up in Q3, reflecting the IQOS into my launch, which outweighed the effects of supply constrain on other acquisitions. The plus 7.3% organic growth in year-to-date net revenues on shipment volume growth of plus 1.5% reflect the twin engines driving our top-line.  The first is pricing on combustible and, in certain markets, on HTUs. Second is the increasing mix of HTU s in our business at higher net revenue per unit, which continues to deliver substantial growth and increasingly powerful driver as our transformation accelerates. Let me now go into the driver of our year-to-date margin expansion starting with growth margin which expanded by 240 basis points on an organic basis.  While expansion was lower in Q3 as ILUMA devices were shipped to Japan for the launch, the multiple positive [Indiscernible] discussed in prior quarters continue. Our significant effort on manufacturing and supply chain efficiencies are also bearing fruits with around $450 million of gross productivity savings benefit. This was accompanied by robust SG&A efficiencies with our adjusted year-to-date marketing, administration, and research costs, 40 basis points lower as a percentage of adjusted net revenue on an organic basis. This reflects the ongoing digitalization and simplification of our business processes including our IQOS commercial engine and more efficient ways of working partly offset by increased commercial investment in Q3. With SG&A saving of more than $200 million before inflation and reinvestment, this mean we have generated over $650 million in overall growth efficiencies year-to-date.  This is strong progress toward the combined target of $2 billion for 2021, 2023. Moving to market share, sequential gains for both our IQOS and combustible portfolios give us strong momentum going into Q4 and next year, despite an approximate [Indiscernible] 3 points year-over-year drag in Q3 from market mix. Importantly, we expect further improvement in the fourth quarter for HTU s with record shares across key IQOS geographies.  For combustible, the improving total market volume backdrop includes notable recovery in Indonesia, Turkey, and Mexico, and close to stable Q3 industry volumes in the EU region. Our share of the combustible category has strongly recovered on a sequential basis, moving us one step closer to our target of stable share as our portfolio initiatives bear fruit and pandemic-linked restrictions recede in many markets. In South and Southeast Asia, renewed COVID -linked measures have somewhat dampened the recovery. Though industry volume have nonetheless improved sequentially in Indonesia and in the Philippines where the year-over-year trend is impacted by a challenging prior-year comparison. Our share in the region grew sequentially albeit less than expected, primarily given pandemic-related development in the Philippines. Let's now turn to the tightness in device supply due to the global semiconductor shortage. As we communicated in September, with demand continuing to grow, this has already affected the availability and assortment of IQOS devices in certain markets in Q3, which impact our ability to run at full commercial and competitive capacity and fulfill consumer demand.  Device shipment outside Japan were limited to a 7% year-over-year increase, significantly below the growth in net sales. This resulted in slower user growth of several 100,000 in the quarter notably in Russia, given limitation on the IQOS to the 4 plus device as flagged in recent communication. At this stage, semiconductor supply forecasting remains volatile so we assume the tight supply situation will persist into the first half of 2022. We will continue to carefully prioritize necessary device replacement for existing users, followed by device sales targeted at acquisition.  The successful start of IQOS ILUMA in Japan confirmed it would be a significant driver of acquisition and retention. Nonetheless, at the beginning it triggers significant upgrades from existing large IQOS user base, many of whom don't really needed to replace their devices. This is a highly desired consumer behavior in normal supply [Indiscernible], but increases constraint in the shortage. Therefore, we now assume that additional major launches would only take place in the second half of next year. Given this evolving situation, we have continued important commercial investment in key area.  This include portfolio expansion and product launches such as IQOS ILUMA in Japan and IQOS VEEV, smoke-free category, understanding and awareness campaign, and a number of commercial development project. Including the investment already made in Q3, we anticipate around $300 million of incremental H2 spending compared to the first half. Overall, this is a temporary phenomenon and with demand remaining strong, we expect user growth to reaccelerate once shortages ease. We have a pipeline of exciting innovation on devices and consumable, including but not exclusive to ILUMA, and a number of new market entries plan. However, there are short-term shortage scenario under which the transitory supply impact on user growth could result in 2022 organic growth below our 2021, 2023 targeted average rate for net revenues, OI margin expansion, and adjusted diluted EPS. Nonetheless, with a strong 2021 as a base and a robust reacceleration port shortage, we confirm our confidence in our 2021-2023 growth targets. Moving now to IQOS performance, we estimate there were 20.4 million IQOS users as of September the 30th. Excluding the impact of international sanction in Belarus, this reflect growth of around 0.4 million user s in the quarter with the rate of growth subdued by the tightness of device supply and the time needed to adjust our commercial programs. As demonstrated again by the ILUMA launch in Japan, the underlying momentum of the IQOS brand remains strong.  Following adjustment of our program and assortment, we expect Q4 user growth to improve by a few 100,000 compared to the growth seen in Q3. The reduce user growth for the second half should therefore be broadly consistent with the potential 2 to 3 billion HTU impact flagged in recent communications. We estimate that 73% of total user or 14.9 million adult smokers have switched to IQOS and stopped smoking with the balance in various stages of conversion. The user growth again reflect acquisition across key IQOS geography, despite device constraint. In the EU region, third quarter share for each reached 5.3% of total cigarette and HTU industry volume plus 1.4 points higher than Q3 last year. As mentioned last quarter, we expect a sequential share for HTU s to be broadly stable due to the effect of seasonality and pandemic-related fluctuation on the combustible market. Underlying IMS growth trends remain excellent. And as in the prior year, we expect a strong Q4 in both volume and market share terms. This very good performance includes strong growth across the region with Italy, Germany, and Poland as notable contributors. Robust performance continued in Russia with our Q3 HTU share by plus 1.1 point, to which 6.9%, while lower than Q2, notably due to the seasonality of the combustible market, we expect further sequential growth in IMS to deliver strong quarterly share increase in Q4 as in the prior year. We had the largest limitation on lower-priced devices and related commercial programs in Russia.  And we have seen some increased consumer trial of discounted competitor offering a disposable e-vapor product. However, we continue to see high interest in the category and with both our existing price tier portfolio and future innovation supporting our clear category leadership, we see ample room for further strong growth over time.  There is also [Indiscernible] H2 growth across the eastern Europe region with Ukraine, Kazakstan, and southeast Europe contributing. This slide shows the positive overall regional growth trend in adjusted IMS albeit somewhat dampened on a sequential basis by the halting of shipments to Belarus due to International sanction and timing factor in Kazakhstan. In Japan, the adjusted total tobacco share for our HTU brands increased by plus 2 points versus the prior-year quarter due to 20.8%, and adjusted IMS grew sequentially to reach a record high of 8.2 billion units, reflecting the strength of our portfolio and the launch of IQOS ILUMA. Adjusted sequential share fell by 0.2 point sequentially, reflecting volatility in the total market ahead of the October the 1st excise increase in addition to normal seasonality. While consumer pantry loading effect may wait on Q4 IMS, we expect further robust underlying growth in volume and a nice sequential improvement in market share. The overall heated tobacco category continues to grow, making up almost 30% of the adjusted total Japanese tobacco market in Q3 with IQOS maintaining a high share of segment and capturing the majority of the category's growth.  In addition to strong growth in existing markets, we continue to drive the geographic expansion of our smoke-free product as we aim to be in one other market by 2025. During the quarter, we launched IQOS in Egypt, the first in Africa, and reached an off-take exit share of 2% in Europe and Cairo. We also now add Norway and Iceland, where our recent acquisition of [Indiscernible] gives us a presence in the [Indiscernible] and nicotine pouch category. This take the [Indiscernible] snooze total number of markets where PMI smoke-free product are available for sale to 70 of which 28 are in low and middle-income market, which we are introducing as more robust measure of making smoke-free product available to adult smoker in emerging countries.  Again, we may have some delays in this market expansion program in the first half of 2022. Given our smoke-free leadership and global reach, let me pause and share a few words regarding the strength of our intellectual property. Across all our smoke-free product, we have strong patent and as being the clear leading innovator in the tobacco category over recent years, investing billions of dollars in the process.  Despite attempts to disrupt our business through litigation by your competitor who lags behind on R&D and innovation. We have been -- you need us to be successful in defending our product against IP challenges in all 11 ruling outside of the U.S. Including the UK high court and at the European Patent Office. The U.S.A. -- the U.S. ITC is a federal agency which, among other things, deals with import, trained to ensure domestic industry of U.S. intellectual property rights. We also note the two paths I mentioned in the ITC final determination were both drafted after IQOS had been launched. The FDA, fulfilling the exclusive [Indiscernible] interest mandate given to it by Congress for tobacco product, has already found that IQOS is appropriate for the promotion of public health and expected to benefit the health of the population as a whole. We are hopeful in the current presidential review period that the U.S. Trade Representative will consider the impact on current American IQOS users and the many more that would be denied access. In the scenario where the ITC determination is upheld, where the financial impact of this time is in material, given the early stage of the U.S. IQOS fallout, this would unfortunately meaning that U.S. consumers would be unable to buy IQOS for a bit of time. Meanwhile, our contingency plans are underway and include domestic manufacturing.  The U.S. patent office is also reviewing certain claim of the patents in question with initial ruling expected in 2022, and by subject to an appeal process. While the ITC ruling may cause near-term disruption to the U.S. availability of IQOS, we continue to see a large opportunity for IQOS in the United States over the coming years. The global IQOS innovation story took a historic step forward in August with the launch of two ILUMA devices and a range of [Indiscernible] HTUs in Japan. Building on the success of IQOS 3 Dual, we believe the simple and intuitive device will support easier switching and higher conversion for [Indiscernible] edge smoker using SmartCore internal induction heating technology.  While -- with the national roll -out taking place at the start of September, initial results were outstanding with device sales well ahead of all comparable past launches at the same stage despite some limitation on device availability and the proportion of new users growing to 18%. [Indiscernible] purchases are growing rapidly, exiting the quarter at over 10% of total PMI HTU of tech volume. Consumer feedback has also been very positive, with meetings increases in the net [Indiscernible].  Following the success, we plan to launch in our second market of Switzerland next month and look forward to additional major launches in 2022 when circumstances allow. We continue to commercialize IQOS VEEV with good progress in the first group of markets, where we started in our own channels with a limited range of taste variants and nicotine levels. IQOS VEEV is a premium product, providing a superior experience. And the commercial infrastructure of IQOS allows it to deploy efficiently and at scale through a bespoke route-to-market approach. As we start to expand distribution and the consumable offering, we see sign of increased uptake and clear positive consumer feedback related to competitive products. We see encouraging early success in Italy where VEEV reached an estimated 7% national exit volume of tech share of crude system product -- system put, sorry, despite not yet being available nationally.  And in the Czech Republic with an estimated 8% national volume of tech exit share. We also launched in Croatia in Q3, Canada in October, and plan to launch in Ukraine before year-end. We also continue preparations to apply for a PMTA from the U.S. FDA in the second half of 2022. Turning now to our strategy to moving to new business areas beyond tobacco and nicotine, which focuses on leveraging and complementing our existing capabilities in the health care and wellness space. We see significant opportunity in adjacent area with our two focused corridors of self-care wellness, including botanicals and inhaled therapeutics, expected to have an addressable market of around $65 billion by 2025.  The acquisitions of Fertin Pharma, Otitopic, and Vectura enabled us to more rapidly expand our development capabilities with over 250 scientists, infrastructure, technology, and expertise in innovative enameled and oral product formulation while continuing to grow CDMO activities. As shown on this slide, this opens up a number of highly complementary opportunities and new focus areas. This acquisition will fully leverage PMI 's existing capability like science, product innovation, and clinical expertise related to innovation. We look forward to updating you more in the future on our plans and progress in these exciting new areas. Moving to sustainability and our ESG priorities, we continue to make good progress throughout our [Indiscernible] through advancing our transformation and addressing our most material impact on society.  We broaden access to our smoke-free product by increasing the availability to adult smoker around the world with new product launches across the growing range of market and smoke-free categories. In addition, our recent acquisition build our human intellectual and social capital, adding smoke-free capabilities and laying the foundation for a strong business in areas beyond tobacco and nicotine, as we strive to develop commercially successful product that seek to have a net positive impact on society. I am proud to highlight the recent publication of our business transformation linked financing framework. And subsequent refinancing of our revolving credit facility. The framework which follows ICMA principal and receive a second party opinion from S&P, links our financing to [Indiscernible] targets in our transformation. Last, we remain on track to achieve carbon neutrality of our direct operation by 2025, five-years ahead of our 2030 target. In addition, with the United Nations Climate Change Conference approaching, we plan to publish a robust, low carbon transition plan and white paper on climate justice, which highlight the connectivity between environmental and social issues. Overall, we are on track for excellent top and bottom-line growth performance in 2021 with strong underlying momentum for IQOS and robust cash generation. We are investing in the broadening of our smoke-free product portfolio and geographic reach. This is critical as we seek to accelerate the number of adult smokers who switched to better alternative with the growing positive impact on society. In addition, we are investing in the capabilities of tomorrow as illustrated by our three recently announced acquisitions, which provide a comprehensive development platform in safe care wellness and in health therapeutic, and strengthen our position in modern oral nicotine.  We have increased cash return to shareholders in Q3 through higher dividend and our share repurchase program in line with our objective to deliver sustainable value and return to investors as we continue our journey towards becoming a majority smoke-free Company. For 2022, we have a pipeline of exciting innovation for both devices and consumable. And we expect IQOS user growth to reaccelerate when device shortages ease. We continue to see a strong future for our business and remain confident in our 2021-2023 organic growth targets. Thank you very much, and I'm now happy to answer your questions.
Operator: Thank you. We will now conduct the question-and-answer portion of the conference. [Operator Instructions] In the interest of fairness and time, we ask that participants please keep a maximum of two questions each. If time allows, follow-up questions may be taken. [Operator Instructions] And we will take our first question from Gaurav Jain with Barclays.
Gaurav Jain : Hi, good morning. Thank you for taking my questions.
Emmanuel Babeau :  [Indiscernible]
Gaurav Jain : [Indiscernible]. My first question is on the -- unit 2022 comments around growth rate being lower than the range you have given for 2021-2023 because of the issues around device supply. Now, if device supply is lower and your IQOS acquisition is lower, then doesn't it imply that your commercial investments are also lower and so it should be beneficial to your EPS, or is that a correct way -- incorrect way of thinking about things?
Emmanuel Babeau : So thank you, Guarav, for the question. First of all, let me repeat that this is one scenario, the fact that the constraints are going to stay with us in H1 next year. This is not the only one, so you have more favorable scenario. And at that stage, frankly, it's a fast-moving, super-fluid situation. So we don't know, but I think it was really important to share the possibility that the pressure on availability that we are seeing in H2 2021, we're still going to see it in in H1 2022.  So that's the scenario you are referring to and in this situation we would see after this six months second half of 2021, we'd see another six months period with reduced acquisition that is the underlying potential that we have seen in H1. In this situation, no doubt that, of course, the spending would be impacted by the fact that the number of launches or a number of commercial activities, that's happening, that's very clear. But at the same time, I think we've been very clearly saying it today, we are absolutely sure of the very strong potential of IQOS. And we think that this potential remained absolutely unchanged by what's going on. So there will be when the shortage ease, a very nice acceleration.  On top of that, we will be coming at the same time with very exciting innovation. You know ILUMA, there is more in the pipe. So we're going to make sure even when there is some limitation on availability that we keep building awareness, we keep building the category, but also the IQOS franchise. So not all cost will go away because we're going to -- I mean, we are here to make a success. As you know, on the long time and not managing only 6 months. So yes, there would be in this scenario -- once again it's one scenario, among others. They would be reduction in investment. But as you can see in Q3, we continue to invest even when there is some limitation because we are building this long-term success that is extremely clear in the outlook that we have.
Gaurav Jain : Thank you. And a follow-up question on your U.S. strategy. And there are number of almost like cross-currents going on that you're partnering with Altria for IQOS and they're now you have lost the lawsuit versus VAT. And there is a potential that you have to do domestic production of your devices. Then you are also planning to file a PMTA for IQOS VEEV later next year, so that could also be a potential new product than the U.S. market. And then you've also acquired Fertin, which also gives you to capability to potentially launch a modern oral product in the U.S. if you file for that PMTA as well. So how should we think about, in some parts you will be partnering with Altria, in some other parts you could potentially be competing with Altria. So how does it all fit together?
Emmanuel Babeau : Thank you, Guarav, for the question. Let me clarify it again. We have commercial partnership with Altria and each of them tobacco products, so that's very clear. And we're going to see what is the final outcome of this ITC question. I will not rest with the final conclusion. We are at the time of the presidential review. We frankly think it's going to be a defining moment for the objective of the FDA of tobacco on reduction. I think the administration has a great opportunity here to flag how important this tobacco harm reduction policy is. And that would mean to protect IQOS, which is the only [Indiscernible] inhaled nicotine product that is today benefiting from [Indiscernible] in the U.S. So we are still hopeful that we're going to get a positive conclusion after the presidential ruling for us. In the case that it was not the final outcome, of course, we'll continue to work with Altria. The development would be a bit delayed. We'll find a solution to overcome the ITC decision. And we've been flagging the fact that it could go for local production. And, as I think I've been saying during my notes, we remain absolutely convinced of the very strong potential of IQOS in the U.S. So that's one thing. And then you have the other Altria category where indeed we have ambition and you've said it, we are going to file for a PMTA for VEEV.  We could be considering launching modern oral product at a certain point in time as well. And on this one, all the options are open, so we don't have any commercial agreement today. And we will decide in due course how we want to launch and with which kind of set up or partnership. But no decision has been made at that stage.
Gaurav Jain : Thanks a lot, Emmanuel.
Emmanuel Babeau : Thank you, Guarav.
Operator: We will take our next question from Bonnie Herzog with, I apologize, Goldman Sachs. Your line is now active.
Bonnie Herzog : Thank you. Hi, Emmanuel.
Emmanuel Babeau : Hello, Bonnie.
Bonnie Herzog : I had a couple of questions on IQOS ' performance during the quarter. First, is there any sense of how much stronger device sales could have been in the quarter without the supply constraints? In other words, curious to hear from you how strong orders might be for new invites -- devices, especially on ILUMA. And then maybe if you could share how big of a backlog there is. And then surrounding this issue, I just was curious to better understand what gives you the conviction that these issues are going to subside by the second half and just thinking about the risks. These shortages last longer. And then finally on his topic, are there any consent -- contingencies you guys might be working on, or any way for you to be less dependent on the semiconductor suppliers going forward?
Emmanuel Babeau : Thank you Bonnie. So first question on the IQOS potential in term of sale of device during Q3 without the constraint. We are seeing that we've been missing several 100,000 of sale of devices. So it's obviously very, very material and we've been reporting the fact that outside Japan and really we have to look outside Japan because Japan with the launch of ILUMA was a specific situation. So outside Japan, devices have been growing by 7%, which is, of course, very, very significantly below the underlying growth of our markets.  And we are growing still close to 25% even in Q3. So that I think give an idea of the kind of GAAP that we may have been facing during this quarter. We believe, as I said, that during Q4, as we now have a better, I would say, grip on things, we've been managing on the reassortment, reallotment. We have a better understanding of the kind of commercial actions that are giving the best possible return. We have a very clear view on how we're going to prioritize. So we believe that we are growing even still with the severe restriction on devices, I'm not able to say whether that would be exactly the same level, but let's take that as an assumption, the same level as Q3, we believe that in terms of user growth, we could do better than in Q3. And we mentioned a few 100 thousand better user growth acquisition. So altogether, that mean that if you believe that the [Indiscernible] underlying growth rate was between 4.5 to 5 million user a year that we're seeing in each one, we're going to miss anywhere between 1 to 1.5 million user growth in H2 altogether.  And that is absolutely consistent. So that was something that was already here in September -- at the beginning of September, that is consistent with the 2 to 3 billion impact that we mentioned at the beginning of September. But I hope it helps you have some understanding -- better understanding of the impact of the device shortage. And how you should -- you should see it. On -- we are working, I can tell you, around the clock to manage the shortage. We are using all possible lever. So of course we are in very intense discussion with our suppliers exploring old possibility.  We are dominantly optimizing the planning and of course it's quite complex because we talk about shortages on various type of IC, and they are not all entering into the same kind of reference of our range. So we're managing that as well. We are looking at the split by market as well, and we've been buying a little bit and maybe we could be able to have even more success there. So we are really putting all the lever we can to minimize the impact. And today what we are hearing is that the number of capacity should kick in in the first half of next year. And I would tend to think there is a kind of consensus on the fact that H2 next year should be much better in terms of constraint, if not fully back to normal. So this is an assumption that we have today. But I have to admit that we've seen the situation moving fast, rapidly. And as I said, maybe things are going to improve faster because something is going to happen in the overall demand of the economy in the next six months. So maybe that could be even an improvement in H1. That's a scenario. Does it mean that another scenario that H2 could be with more question mark? Well, maybe. What we are hearing when we talk with our partner and supplier so far. But I have to admit that nothing is totally clear on that stage.
Bonnie Herzog : Okay. Super helpful. If I may, I'd like to maybe squeeze in another quick question. Just during this period of slower IQOS device sales and new user acquisition, how should we think about your total volume growth? So is it safe to assume your combustible cig volume will be elevated during this period of slower IQOS device sales and essentially be strong enough to more than offset this? And then given this dynamic, how should we think about this mix impact on your margins in the next few quarters? Thanks.
Emmanuel Babeau : Sorry, your line was not very good, but you were asking how we should expect the impact on user acquisition versus volumes, correct?
Bonnie Herzog : Sorry, if it didn't come through -- more so on the mix, Emmanuel, because I'm thinking during this period of slower IQOS device sales, combustible cig volume could be elevated.
Emmanuel Babeau : Yeah.
Bonnie Herzog : [Indiscernible] thinking that mix dynamic can impact on margins.
Emmanuel Babeau : Look, we continue to target very nice growth of IQOS and [Indiscernible] is a brilliant category altogether. And of course, as the EPS leader of this category, we see that continuing in the coming quarters. And as you know as well, that is coming with a very nice mix in terms of revenue per stick, and it's still very much visible in our Q3 numbers. And we also flagged the fact that that was positive in terms of gross margin rate for the consumable business, the IQOS business. So maybe if the growth is a bit weaker because of the situation, the positive mix will continue to evolve; has already, but at a lower pace. But that's going to continue to be nicely positive. And on top of that, of course, then there is a question of, okay, what are we going to spend in terms of SG&A in this kind of situation. So it's difficult to say that it's going to be necessarily as in a negative impact on the margin. We are talking about very powerful driver on our financial performance. And even once again, is the growth rate is going to decrease a bit, still going to be significantly higher than any evolution on [Indiscernible]. And it's going to still continue to deliver a positive impact on the mix.
Bonnie Herzog : All right. Thank you so much again.
Emmanuel Babeau : Thank you, Bonnie.
Operator: And we will take our next question from Pamela Kaufman with Morgan Stanley. Your line is now open.
Pamela Kaufman : Hi, good morning. I have a follow-up question --
Emmanuel Babeau : Good morning.
Pamela Kaufman : Good morning. I have a follow-up question about the outlook for next year and the scenarios that will drive the risks to be below your midterm target. It sounds like you're anticipating weaker 1H supply and an improvement in the second half. Would this scenario drive your results to fall below the side and 9% revenue and earnings growth target, or would supply conditions need to worsen relative to these assumptions?
Emmanuel Babeau : Of course, we can play without limits with that very scenario. We have to admit that we've been seeing already in Q3 a weakening of user growth. And as we said, versus -- even if we expect in Q4 an improvement versus Q3, it will still be below the underlying trend. And then, you know, in the scenario that we are describing, we say if the shortages continue in H1 next year, that's when we're going to face this pressure on growth. So it's difficult for me to just comment one scenario. But [Indiscernible], that's the accumulation of what has been happening in H2 this year, 2021, and what could happen the beginning of next year, so H1 2022, that could drive a reduction in the potential growth rate next year. Which would be temporary once again, and when there is a rebound, the [Indiscernible] will come, but that would be the combination that would trigger something that could be below our average growth targets.
Pamela Kaufman : Thank you. That was helpful. My next question is on the ITC decision. Can you elaborate on your contingency plans for making IQOS available in the U.S. What would be the timing of manufacturing IQOS in the U.S. And just to clarify, does the ruling also pertain to ILUMA technology? In terms of bringing ILUMA to the U.S. market, is there an opportunity to bridge IQOS 's PMTA application for ILUMA to accelerate its entry into the U.S.?
Emmanuel Babeau : So regarding the ITC contingency plan, if eventually the presidential review was not favorable, but I want to repeat before answering you that we are hopeful that this presidential review will have a positive outcome for us for the reason I mentioned previously. I cannot elaborate further, unfortunately, but that clearly -- it's part of what we described, the fact that we could have some local production as an element, but I won't elaborate further on how this could happen and how we would get there. On the ILUMA PMTA, a PMTA, frankly, we will need to have a discussion with the FDA on the process and all the process would be carried by the FDA. And at this stage, I'm not able to answer you. So we will certainly require -- ask for a PMTA on ILUMA at a certain point in time, but not in a position today to comment on timing.
Pamela Kaufman : Okay. Understood. Thank you.
Emmanuel Babeau : Thank you Pam.
Operator: We'll take our next question from Vivien Azer with Cowen. Your line is now open.
Vivien Azer : Hi, thank you. Good morning.
Emmanuel Babeau : Good morning, Vivien.
Vivien Azer : I apologize for belaboring the ITC issue, but I've got a question on that too. You've noted your track record of success in terms of defending against litigation internationally. Two questions, please. Number 1, are there current cases that are still pending internationally around IP litigation? If so, can you outline where those exist. And number 2, can you just clarify that the litigation that you've successfully defended addresses the exact same claims that were reviewed by the ITC? Thank you.
Emmanuel Babeau : Well, there are a number of cases pending, I won't elaborate on that. Not all of them are public. And notably in Europe, I just want to repeat that so far in Europe, we've been on 11 cases, trial or at appeal, we've been successful. So I think it tells a lot about the strength of what we've been doing. And yes, some of the patents on which the ITC based their decision before proceeding for review but then that have been reviewed by a number of courts in Europe. And it to be the UK court. And they already have the [Indiscernible] and the UK court precisely has invalidated two family of patent that are at the original ITC decision. And the European Patent Office already evaluated one of this family of patent, so even fundamentally on the merit of the patent and the validity of the patent, we have been going through success in Europe.
Vivien Azer : That's helpful. Thank you. And then my follow-up question is on combustible cigarettes. The outlook is getting modestly, it's better; pricing, you've reiterated. If I recall correctly, as we kind of started the year, I think there was a point of caution around pricing with COVID uncertainty, etc, etc. What is your view of the consumer? I know it's a broad question; you operate in a lot of markets. But if you were a little bit conservative or cautious on pricing, when we started the year, what is your feeling about your ability to take pricing today? Thank you.
Emmanuel Babeau : Well, you have to still give me the remaining weeks for the year before I can elaborate on next year. I think it's still quite unclear what's going to be the environment. One might think that inflation clearly accelerating in many countries, we'll maybe build a global environment that could be better than what we thought initially, but that's still early time. So I'm not able to comment at that stage, so I will keep a cautious stance, which was built, you probably remember on the aftermath of the COVID and the impact of many economy are being under shock.  So we were seeing that that was probably not making a great landscape for price increase. But I have to admit that I don't know what's going to be the impact coming from what seems to be a general increase in inflation. And maybe that is going to create a more favorable situation, but bear with us, it's still a couple of months before we can have a clearer view on that one.
Vivien Azer : Understood. Thank you very much.
Emmanuel Babeau : Thanks, Vivien.
Operator: And we will take our next question from Chris Growe with Stifel. Your line is now open.
Chris Growe : Thank you. Good morning.
Emmanuel Babeau : Hi Chris.
Chris Growe : I had a question. Hi, Emmanuel. Thank you. I just had a quick follow-up on the supply shortage. Sorry to keep going there, but I did hear some effect on the 2.4 device. I know it's limiting ILUMA's launch in some markets. Is this chip shortage true for all your products, those 3.0 and duo. Just to be sure, are those also affected by the chip shortage?
Emmanuel Babeau : Well, Chris, that would mean that we will need to enter into great detail of how we are prioritizing our portfolio, and I don't think I want to do that because, of course, that's quite strategic for us. What is very clear is that we have one, North Star, if you want, which is to first protect our existing IQOS user and to make sure that we make device available when they want to renew the device. And second, of course, we want to optimize any commercial action to make sure that we have the highest return on a new device that we are selling and that we avoid as much as possible selling device with a very low percentage of utilization afterwards by the consumer.  And certainly for us, moving and taking the benefit of that to step up the blade technology and move IQOS 3 as a priority instead of IQOS 2.4+ was one of the moves that we have decided to make. And that explain why we have some more limitation on top of the fact that due to component issue there was also more pressure on 2.4, but obviously in these kind of moment s where a lot of things are on the table, you are managing constraint and long-term strategic vision as well. That's what we're doing.
Chris Growe : Thank you for that color there. And just a separate question in relation to some of your beyond nicotine and tobacco acquisitions, Otitopic and Vectura, in particular respiratory drug companies. I just had a simple kind of high-level question. Do you need more pieces to fit that vision you have for respiratory drugs? And just to understand kind of what stage we're at in terms of your acquisitions, to understand if you need to do more here in the short-term, if this is a good base to which you can build this element of your beyond nicotine sales.
Emmanuel Babeau : So globally, we think that we have put on beyond nicotine great platforms if you want, and notably in term of R&D. And I think there is a lot we're going to be able to do already with this acquisition. Now, does it mean that in the future, we could think of other [Indiscernible] acquisition that would bring additional capacity that we don't have here maybe, but I think for the time being, we're going to focus on making sure that we integrate this acquisition and we maximize the synergy. In the interview as I said, in terms of R&D, which were really two big objectives to combine strengths on R&D. And we optimize by putting -- know our all skills, talent together, we optimize what we can do already in therapeutic, but I could make the comment as well for 13 and self - care wellness.
Chris Growe : And just to be clear, these acquisitions should not take you away from your separate goal of repurchasing you shares? That's kind of the main thing I was looking at just to understand future capital commitments through your [Indiscernible].
Emmanuel Babeau : Nothing. No, absolutely. Nothing has changed on our buyback program. Absolutely.
Chris Growe : That's great. Thank you so much. Have a good day.
Emmanuel Babeau : Thank you.
Operator: And we will take our final question from Callum Elliott with Bernstein. Your line is now open.
Callum Elliott: Thanks for the question. I was just [Indiscernible] Emmanuel, could you talk please about the tax situation for IQOS in Germany, recognizing that the political landscape is still shrouded in some uncertainty. It does seem like the proposed tax changes would be a material headwind to price mix and profitability next year, so just hoping that you could frame the magnitude of this impact. And then maybe sort of slightly bigger picture, do you see an increased risk of contagion for this kind of big IQOS tax increase in other markets?
Emmanuel Babeau : Well, on Germany what I can certainly you repeat is the fact that it's a mixed feelings about the German decision because on one side, we are very happy with such a prominent country as Germany, putting in allows the fact that this project are better and should be treated differently than cigarette, and I think it's really great that this tobacco harm reduction principle is recognized. At the same time, 20% differentials seem too low. Yes of course it will have impact as we are progressively impacted by it.  And it's too early for me to give an idea of what's going to be the impact next year. But there will be some impact of course, [Indiscernible] it's not going to derail our fundamentally the trajectory on IQOS and profit growth. But we believe that 20% is not enough. So we are hopeful that at a certain point in time and it's too early to say, of course, the new coalition is yet form, even if things are getting clarified.  But we know whether there is the possibility that starting from these 20% differential. There is a plan to grow it over time, and that could be a possibility. Now, in term of contagion, we don't see that today. We see, on the contrary, when we look at the latest country, they are now coming to a differentiated treatment when it comes to each of them versus CC, we see normally most of the cases significantly higher even, differential versus Germany. So more than 20%. If I take just one example, that's the case in Egypt for instance. So in the recent decision taken by authorities, they are clearly making a bigger difference, which I think to a large extent is much more in line with the reduction in exposure to toxicans. You have a 90 to 95% if you wanted to have a rule to determine what could be the difference. Well, maybe that should be the guideline. And I think we are happy to see a number of country, regulatory government moving to the differentiated treatment between CC and [Indiscernible] and taking a big difference on tax treatment.
Chris Growe : Okay. Thank you.
Emmanuel Babeau : Thank you.
Operator: We have no further questions at this time. I will turn the program back over to Nick Rolli for any additional or closing remarks.
Nicholas Rolli : Actually, I think Emmanuel has a few brief remarks.
Emmanuel Babeau : Yes. Thank you, Nick. Just give me a moment to wrap up with some brief closing comments. First of all, 2021 is on track to be a great year for the growth of IQOS and the financial performance of our business. We see continuation of strong underlying fundamentals, demand, and momentum for the IQOS brand. And last, but certainly not least, despite near-term challenges with device supply, we remain on track for our 3-year growth targets supported by a rich innovation pipeline. So thank you very much for your time today and we look forward to talking to you soon.
Nicholas Rolli : Thank you very much, Emmanuel. That concludes the call. If you have any follow-up questions, you may contact the Investor Relations team. Thank you again. Have a nice day.
Emmanuel Babeau : Thank you. Talk to you soon. Bye-bye.
Operator: This does conclude the Philip Morris International Q3, 2021 earnings call. You may disconnect at any time.